Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS, Year 2016 Results Conference Call. All participants are at present in listen-only mode. Following Management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded and will be available on the BOS Web site as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding the future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of the changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand the call over to Mr. Yuval Viner, CEO of the Company. Go ahead Yuval.
Yuval Viner: Thank you. Thank you for joining us today in our annual results conference call. I'm pleased to announce that we have met our public forecast for the year 2016 which was increased in our revenues and in our net profit as compared to the year 2015. Looking ahead at year '17 and its challenges, we have a positive outlook for this year which is a net profit of $0.5 million and further growth in revenues as compared to year '16. During year '17 we plan to continue to invest significantly in managerial resources in the integration of the acquisition of businesses of iDnext and Next-Line that we made at the beginning of year 2016. We expect to benefit from the synergy of this business with the RFID and Mobile division in year 2017. Overseas we plan to continue to invest various resources in order to continue the grow of our supply chain division business in India. In addition, we continue to seek opportunities for synergic acquisition for the RFID and Mobile division and for the supply chain division. Now I would like to turn over the call to our CFO, Mr. Eyal Cohen.
Eyal Cohen: Thank you, Yuval. Hello and thank you for joining us today. On the financial side, our loan decreased during the year '16 by an additional $700,000 to $3.1 million. After six consecutive years of using cash flow accelerated loan repayment, going forward we plan to designate more cash for working capital and possible future acquisitions. Thank you, that's completes my financial review.
Operator: Before I ask Mr. Viner to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the Company's Web site, www.boscorporate.com by tomorrow. Mr. Viner, would you like to make any concluding statement?
Yuval Viner: Yes, thank you for joining us today. We're pleased with the year 2016 results and we have a lot of work to do in the year 2017 in various fields. We will do the best we can to continue the improvement of the Company profitability from year-to-year. Thank you all and talk to you again in our next call.
Operator: This concludes BOS fourth quarter 2016 results conference call. Thank you for your participation. You may go ahead and disconnect.